Joerg Hoffmann: Thank you operator. Welcome to the Wacker Chemie AG conference call on our Q1 2020 results. Dr. Rudolf Staudigl, our CEO and Dr. Tobias Ohler, our CFO, will take you through our prepared slides in a minute. The presentation is available on our web page under the caption, Investor Relations. Before we begin, allow me to point you to our Safe Harbor statement, which you will find at the beginning of the slide deck. Dr. Staudigl?
Rudolf Staudigl: Ladies and gentlemen, welcome to our conference call on the first quarter 2020 results. We delivered a strong performance in Q1. Sales were at €1.2 billion, 3% less than last year, but 4% over the previous quarter, driven by volume. EBITDA came in at €174 million, a solid 23% higher than last year with our good performance in chemicals, mainly due to a better cost base. Volumes in chemicals were up despite a pandemic-induced slump in China earlier in the first quarter. Polysilicon benefited from its ongoing focus on cost reduction. While our first quarter performance was quite good, we started to see a deterioration in business conditions almost across the board in late March and early April. The lower order intake is a function of the global response to the pandemic. As sales are slowing in some areas, we are ready to adjust production levels accordingly. We are preparing for a harsher environment. We exercised strict cost controls. We focused on cash generation and working capital management and we pushed out CapEx and technical expenses where possible. But we will not compromise future growth. The work on our more significant restructuring program targeting annual savings of about €250 million by 2022 continues. At the same time, we take precaution to protect our workforce. Most of our administrative staff now work from home and we have intense medical surveillance on our teams in the plants. Infection rates at our plants are at very low levels. Our top priority is the health of our employees while maintaining production to supply our customers reliably. The situation is dynamic and the range of scenarios are possible. The early reopenings and the fast refilling of supply chains could see the economy showing signs of recovery as we progress through the year. Longer standstills would undoubtedly have more adverse effects. We expect the global economy to contract sharply in the second quarter and this will affect our customers and us. Given the volatile situation, it is currently not possible to issue a precise forecast for the full year. We believe that initial steps undertaken to lift the lockdowns will lead to positive economic effects. However it is hard to either quantify or time these effects. When we last spoke in March, we identified a risk potential of over €100 million to our forecast. We see this risk materializing but cannot reliably predict to what degree. Tobias?
Tobias Ohler: Welcome. I will now take you through the presentation and provide you with the current trading update for each segment. Starting with page four, we had a good start to the year with results in line with our expectations. Sales were down 3%, primarily due to lower prices for solar-grade polysilicon and standard silicones. We benefited from efficiency gains, cost management and a lower depreciation charge following the impairment in polysilicon last year. Gross profit improved by 48% to €222 million. We are actively taking steps to reduce expenditure across the entire organization. Our efforts show in the gross profit development and are also clearly visible in the SG&A line, which was down 8% compared to last year. Earnings per share came in at €1.31 for the quarter. On page five. Our balance sheet reflects our strong financial position. During the quarter, we took steps to strengthen our liquidity further. Having secured new loans of €200 million, we ended the quarter with approximately €750 million in cash and cash equivalents. Combined with additionally available credit lines of €600 million, we are solidly financed. Shareholder equity improved to €2.4 billion, following the net profit in the first quarter and lower pension provisions. Pensions declined by €490 million as the applicable discount rate increased to 1.93%. As we move on to the segments, please note that we are only providing a trading update today. As Rudi already explained, it is not currently possible to give an accurate forecast for 2020. While we had a good performance in Q1, the next quarter will be very challenging as significant markets and regions enter into a recession. Lower raw materials and our aggressive cost cutting will help offset some of these headwinds, but will not fully compensate for lower prices and volumes as a result of the Coronavirus crisis. Silicones, on page six, saw sales decline by only 2%. Growth in our specialties business helped offset weaker prices in standards. Somewhat higher sales in the Americas helped compensate declines in China, which was down nearly 20%. Silicones add value in many diversified markets and as such they are not immune to a slowdown in GDP. While some end markets are clearly under pressure, others like industrial applications and release coatings are seeing strong demand. The Q1 EBITDA margin at silicones came in at 20.1%, reflecting a good sales mix and cost performance. Our new silicone metal furnace in Norway is performing very well and we saw a significant drop in our production cost. Looking at the current trading in silicones, we continue to see good cost performance in siloxane. However, we also see a lower order intake in April. Depending on how the market conditions develop, we may need to adjust production rates. Moving on to page seven. Polymers saw a strong performance, driven by volumes and efficiency gains. Sales increased by 3% with growth in Europe offsetting weaker demand in China. We had high utilization rates at all plants and our new powder dryer in South Korea helped drive volume growth even higher this year. EBITDA margin climbed to 18.6% with firm prices, efficiency gains and cost discipline. Looking at the current trading in polymers, we see China demand recovering and other regions reporting weaker sales. We will adjust production levels accordingly, should market conditions not improve. Strict cost management and lower raw material costs should support the result. Biosolutions, on page eight, saw strong demand in all businesses. Sales increased by 9% with cyclodextrins, cysteines and biopharma performing particularly well. We saw high utilization rates in all our businesses, which supported higher earnings. Looking at the current trading in biosolutions, we see high demand in cyclodextrins and have a strong order book in biopharma. At polysilicon on page nine, we saw a good cost performance but experienced weaker volumes overall. Sales declined by 13% with somewhat weaker demand and lower prices for solar-grade polysilicon year-over-year. The vast majority of wafer, cell and module manufacturing takes place in China and the effects of the Coronavirus already showed in the first quarter. Reported EBITDA improved significantly compared to last year as we made good progress on our cost roadmap and increased semi-grade volumes. Inventory valuation effects were lower than previous year. Looking at the current trading in polysilicon. We see customers in China resuming production, but now believe end markets will not be as strong as we previously forecasted. We now expect the total PV installations to be in the range of 105 to 125 gigawatt this year compared to our previous forecast of 135 to 155 gigawatt. Now looking to cash flow and net financial debt on page 10. Gross cash flow in the quarter improved substantially to €83 million. While the first quarter saw the typical seasonality-driven investments in working capital, the absolute figure is 4% lower than last year. Our efforts to release cash from working capital and to control costs are both taking hold. CapEx in Q1 was down 55% to €44 million as we completed our major projects and tightly controlled spending on new projects. With net cash flow from operations of €23 million, our net financial debt position improved to €702 million. We are taking a hard look at cash flow and have installed firm controls on expenses and working capital. With a strong cash generation and a good liquidity position, we feel well prepared, but market conditions remain challenging. Let me hand you back to Rudi.
Rudolf Staudigl: Thank you Tobias. Looking at current trading, we see a mixed picture, as Tobias just said. We have some markets going at a good or even strong level. These include semiconductor polysilicon, silicones for industrial applications and release coating as well as our biopharma business. Much slower, on the other hand, are PV installations, leading to lower demand for solar-grade polysilicon. Also, automotive and consumer demand suffers from the effects of the pandemic response. Slide 11 shows a few of our products with currently high demand. In biosolutions and the medical-grades silicones, we are operating at capacity levels. In line with most economists, we expect a pandemic-driven global recession to hit our markets in Q2 and Q3. The slowdown will afflict our customers and us. The pandemic risk we highlighted on our last call is unfortunately materializing and we are responding rapidly to this developing situation. We are currently focused on maintaining the highest level of production possible while taking the necessary precautions for a more pronounced downturn. Starting tomorrow, we will reduce production at our German polysilicon sites. We aim to avoid layoffs, ensuring that our highly trained staff is available to return to work once demand improves. We are also looking for options to introduce short term work in other operations and administrative functions as the situation unfolds. Work on our Shape the Future efficiency program is progressing well. We will reduce CapEx to below €300 million this year by shifting smaller projects and delaying non-essential technical upgrades. All these measures will help secure our strong financial position while not forgoing growth opportunities. The pandemic makes for a tough time and forecasting is impossible. Please bear with us through these exceptional times. Seeing how our team is pulling together and how efficiently we manage to run our plants gives me confidence. With our diversified operation in silicones, we will be ready when markets pick up again as supply chains gets restocked and markets regain traction. In polymers, volatility in oil-based competitive materials may create some disturbance, yet the performance of our products continues to drive volume gains. In biosolutions, we expect growing earnings contributions from our biopharma business as the year progresses. Polysilicon suffers from temporarily weak demand, but the rapidly shifting markets towards high-efficiency products improves our midterm outlook substantially. Integrated production continues in innovation, strong customer focus and cost performance have always been part of our DNA. We take up the challenge and continue to work on improving our operations and processes. While there is a lot of uncertainty out there and we are facing difficult times, I can see a future where we emerge stronger from the crisis than before. Thank you.
Joerg Hoffmann: Operator, our presentation ends here. We will now begin with the Q&A session.
Operator: [Operator Instructions]. I am pleased to introduce the first question. It is from Andreas Heine of MainFirst. Please go ahead. Your line is now open.
Andreas Heine: Yes. Thank you for the opportunity to ask questions. First on polymers. Could you highlight how April was and what you expect here from in the second quarter? Let's say, how the equation works out in potentially lower volume but on the other end materially lower raw material costs? And the second on polysilicon. So sales in the first quarter were not that much weaker and now you have these short term working. So I guess that you expect the Q2 to be even worse than Q1 and that you potentially have built-up some inventories, which you try to avoid in the same quarter by curtailing your production. Could you give some insight how the delivery momentum was throughout Q1? And what you see from today's point in Q2?
Tobias Ohler: Andreas, Tobias here. I will start with the first question on polymers. We have seen a significant deterioration in business conditions, I think almost across the board, in late March and early April and this also affect polymers, our mostly construction-driven business. You had seen that sales in the first quarter was up compared to prior year. We had a very strong European business but yes, some headwind in China already in the first quarter. But in April, this changed. So the expectation is that revenue should be around 15% below prior year. And as orders have also declined from the shutdown situation in Europe and the Americas, you could see that number for May and June, I mean, the 15% could be a higher number. But it's hard to assess right now. On the raw material side, for sure, lower ethylene prices that are sort of linked to overall energy and oil in Europe NAFTA-driven and Asia and U.S. more gas-driven, ethylene prices come down. I think with a time lag, also vinyl acetate monomer prices should come down from both the cost base being lower and also demand being lower for them.
Rudolf Staudigl: Yes. On the polysilicon. The impacts on the polysilicon demand are different in the first quarter and the second quarter. In the first quarter, it mainly was determined by a slowing production in China and especially slowing transportation capabilities worldwide, shipping modules to all locations in the world. And the reason, obviously, was the Corona epidemic in China and all the impacts of the slowdown or the shutdown in China. In the second quarter, we see production capabilities coming back in China. On the other hand, the global demand is pretty much down all over the world because of a reduction of installations because of the epidemic or the effects of the epidemic. And so we had reasonable sales, I would say, in the first quarter. But we see this overall global slowdown starting in the second quarter. And the question really is, how long will it persist? I mean, so far, we are saying, the global installations will definitely not surpass last year's installations. But we really need to see, on a short term, how things develop. We started with a 30% reduction in utilization of labor and we will adjust as needed.
Andreas Heine: And this 30% decline in labor is equal to the cut in utilization rate in production, I guess?
Rudolf Staudigl: Yes, mainly. And production support maintenance staff, for example.
Andreas Heine: Thanks.
Operator: Thank you. The next question is from Thomas Wrigglesworth of Citi. Please go ahead. Your line is now open.
Thomas Wrigglesworth: Hi. Good afternoon and thank you for the opportunity to ask questions. First question is on, you kind of noted a recovery in polymers in China, but you didn't make the same comments for silicones. Have we seen the worst of it in silicones in China now? And what do exit rates look like for silicones? And if you could give us any sense of the kind of exit rates for March into April in U.S. and Europe for silicones, that would be super helpful. And then I had a kind of a second question, which is to touch on power tariffs, notably in Germany. Given that we are in a lower energy price environment for both gas and oil, is that something that you are able to lock-in for longer now and/or would consider doing so? Could you kind of elaborate on that? And then how you see power costs going forward from 2020 into 2021? Thank you.
Rudolf Staudigl: Thomas, on the silicone question and the development in China, you noticed rightly that there is a difference. So while construction activities have seen a faster pickup in China again, we see an overall silicones customer segments still a slower progression of the recovery. And I think the expectation was that after the lockdown, Q2 would be back to normal in China and from an end customer demand perspective, that apparently is not the case and that affects silicones. I mentioned that the April revenue for polymers is some 15% below prior year. The same would be true for silicones. So also about 15%. And with the lower order intake, we also see a decline going forward into May and June. I remember your question on Europe and the U.S., they are moving pretty similar. We had still a strong Q1 in both regions, both Europe and NCA. NCA even a bit stronger, but we now see a similar pattern in both regions. I think the second block of your questions was on power tariffs and you asked about how we can benefit from the decline in electricity prices and gas prices. In the short term, from our overall rolling hedges that we do, I mean there's limited impact for the year 2020. But yes, we see lower prices against prior year. It is a benefit that we can capture. But your second part of that question was, how can we take advantage of that for longer term? Yes, we do this. We have a scheme of rolling hedges that we typically follow. And given the now very low prices, we have extended buying forward contracts on both electricity and gas.
Thomas Wrigglesworth: Okay. And so what part of your power is kind of how much are you hedged out kind of beyond maybe one year? Could you give any indication of the quantity that would be more than one year hedged?
Tobias Ohler: No. I don't want to talk about those.
Thomas Wrigglesworth: Okay. That's fine. Sure. Okay. Thank you very much. Very helpful.
Tobias Ohler: Thank you.
Thomas Wrigglesworth: Thank you.
Tobias Ohler: Welcome.
Operator: Thank you. The next question is from Chetan Udeshi of JPMorgan. Please go ahead. Your line is now open.
Chetan Udeshi: Yes. Hi. Thank you. I had a question just on the pricing environment. We have seen in silicones, for instance, the commodity pricing in China has taken another leg down over the past few weeks. How do you see, in this weak environment, the pricing for specialty products holding, both to some extent in silicones but also in polymers, given the raw material prices are also weaker at the same time? And can you probably help us understand how to think about operating leverage in terms of the impact from, say, 15% to 20% weaker sales on margin or on just the absolute earnings? So in other words, what would be the flow-through of, say, €1 lower revenue to earnings? Any rule of thumb there would be useful.
Tobias Ohler: Chetan, Tobias here. I would take the first question. And I think the second, statistically, we had some challenges. Your question was on the price development in silicone is split between commodity business and specialty business. For sure, the most pressure is on the commodity side. We had seen year-over-year some headwind which also shows up in our revenue being below prior year. But I would say, at least 80% of the price decline is just on commodities. Specialties are holding up firm. But yes, they are also here and there, price movement. But I mean more than 80% is commodity. And I think the second question would be helpful if you could maybe repeat it again?
Chetan Udeshi: Yes. I was just trying to understand how to think about the operational leverage from lower sales on EBITDA or EBIT, whichever way you think it's easier. I am just trying to see if the sales are down 15%, 20%, how do you think about the impact of that on margin or on EBITDA? So do you guys have some sort of a rule of thumb that every €1 decline in revenue could be like €0.50 impact on earnings or something, which helps us maybe model the negative leverage properly?
Tobias Ohler: Chetan, very straight answer, yes, we do have these rule of thumbs, but we don't want to share these, unfortunately, for modeling purposes. So hope for your understanding.
Chetan Udeshi: Understood. Thank you.
Operator: Thank you. The next question is from Patrick Rafaisz of UBS. Please go ahead. Your line is now open.
Patrick Rafaisz: Thank you and good afternoon everyone. Three questions, please. The first one is a follow-up on your comments around polysilicon and the production reduction in Germany. You later talked about a 30% reduction in labor. Is that for Germany? Or is that for your global capacities? And if it's only for Germany, should we expect similar plans for Charleston in the near future? The second question would be, I realize you cannot give a guidance at this point. But back in March, we talked about the €100 million-plus risk event as a framework number in the risk assessment, not a calculated number. Have you run these kind of scenarios now? And does your new scenario analysis back up such a €100 million-plus risk event? And then the third question is just a quick one. The slide 11, where you show these products that benefit from pandemic demand, can you quantify how much of your sales will be related to these activities? Thank you.
Rudolf Staudigl: On the short time work, it's restricted to Germany. Charleston is running on semiconductor polysilicon, although not on full capacity.
Tobias Ohler: To the second question, as I said in the call last time, the €100 million or plus €100 million is a risk category. It's not a calculated number. And there's no spreadsheet for that. And as we said today, the pandemic risk is materializing. But we don't have a guidance on 2020 as it's impossible to forecast the depth of the recession in the second quarter and then the pattern of the recovery. And the third question was on the products that show, yes, additional demand from the situation. I think we don't have a specific number now that we can highlight here.
Rudolf Staudigl: Not a big number, certainly. But these are very, we have future-oriented, great products that certainly will be in higher and higher demand.
Patrick Rafaisz: Thank you for this.
Rudolf Staudigl: I just wanted to add that quite a few years ago, we put a lot of emphasis on medical applications of silicone products and put in clean room facilities, et cetera, et cetera and that's really paying off nicely right now.
Operator: Okay. Thank you. Then we go to the next question and it's from Martin Jungfleisch of Kepler Cheuvreux. Please go ahead. Your line is now open.
Martin Jungfleisch: Yes. Hi and good afternoon and thanks for taking my questions. I have two follow-ups on polysilicon. First of all, you mentioned that you adjusted production levels. Would you say that further cost cuts and the measures in the division may keep the EBITDA for Q2 at first quarter levels despite lower fixed cost coverage through volumes, assuming stable pricing? And then the second question is if you can provide more color if you have shipped any polysilicon from Tennessee to China in the first quarter, given that this should be now possible due to the U.S.-China Phase 1 trade deal? Thank you.
Rudolf Staudigl: To your first question, I don't think that we are in a position to answer that right now. I mean we have an idea about it, of course and we certainly continue to reduce our costs. But to give a forecast for the second quarter would not be the right thing to do at this point in time. And on your second question. No, we do not ship polysilicon to China from Charleston. Charleston has a very highly qualified semiconductor product and this is what we are focusing on.
Martin Jungfleisch: Okay. Thank you. But you would be technically able to ship to China?
Rudolf Staudigl: No. The tariffs for American-produced materials are still in place.
Martin Jungfleisch: Okay. Thank you.
Operator: Thank you. The next question is from Laura Lopez, Baader Bank. Please go ahead. Your line is now open.
Laura Lopez: Hi. Good afternoon. So a couple of questions from my side regarding the Shape the Future or your restructuring program? When are we getting more details on this? So maybe also regarding restructuring costs and a little bit of the phasing of those €200 million. I remember at the beginning, you mentioned that we shouldn't expect a lot of impact in 2020, but first quarter show already a positive sign. So is that included in that initial target? And then two maybe general questions, one on taxes. So you had a positive impact in the first quarter. Is that due to some tax loss carryforwards or something like that? And do you have any potential guidance for the year? And then on dividend, I think there was nothing mentioned in the press release or in the presentation today. So do you confirm this, the dividend payment still?
Tobias Ohler: Laura, I will start with the first two questions. First one, on the Shape the Future program. And as we said, we are targeting €250 million, not €200 million, as the cost reduction on both the personnel and spend side which we want to achieve by the end of 2022. And given the situation with the COVID-19 crisis, I think the urgency of achieving those savings has increased. And over the past couple of weeks since we last talked, I think we have made excellent progress despite many people just working remotely. We have, from a project approach, started to define the ideal organization also supported by external benchmarking. We have then defined the cost target of the €250 million. And now the phase over the past couple of weeks was to really develop specific measures. We will now enter into negotiations with the employee representatives and as soon as we have agreement there, the implementation phase will begin as quickly as possible. I would say on the indirect spend side, which is not personnel related, we also made great progress over the past couple of weeks. And there, we will see faster ramp in savings than on the personnel-related measures. So overall, it is unchanged that we do not expect meaningful savings in 2020, just to be conservative. I think the good start into the year cost-wise was also mainly driven by our strict budgeting from last year and a very good cost discipline in the organization already showing progress. It is not so much related to the measures that we are actually talking in the Shape the Future program, which is really a comprehensive program across the entire organization. So when will you get more details? So we are heading for the Capital Markets Day in June and then we would like to talk more about the time line also when to build in what level of savings. The second question was on the positive tax that shows in the first quarter. This comes basically from two elements. The first is that with the impairment that we have taken on the polysilicon assets last year, we have a lower depreciation level in 2020 going forward. But the impairment was not tax effective. And for that reason, our pretax profit is lower. And in addition to that, there are some other reversal effects from tax audits that also contributes to a positive tax in the first quarter. And if you look at the full year 2020, you could expect also taxes to be positive, especially from the impairment consideration that I talked about.
Rudolf Staudigl: And on your question on the dividend. Of course, the proposal that was published, proposal by the Executive Committee first and then the Supervisory Board to the General Assembly, of course, it still holds. Otherwise, you would have learned it from an ad hoc anyway. So yes, of course, it still holds. And our financial position is really strong enough, yes, to keep the proposal at this point in time.
Laura Lopez: Thank you. Very good answers.
Operator: Thank you. The next question is from Thomas Swoboda of Societe Generale. Please go ahead. Your line is now open.
Thomas Swoboda: Yes. Good afternoon gentlemen. I hope you are all well. Sorry, if I repeat a question that was asked before. I missed part of the call because of phone problems. So I still wanted to ask you about your initial target in polysilicon. You wanted to adjust costs in a way so you should have reached an exit rate of around breakeven at the end of this year. Now you have cut your PV installation expectations for the year. So my question is, what does the cut, in your expectations for the market volumes, do to your target of a breakeven exit rate for the polysilicon division? And I will have a follow-up question.
Rudolf Staudigl: I mean the slowing demand certainly does not impact our ambition in cost-cutting. And yes, that's what we can say on that.
Thomas Swoboda: You have said on the last call that at the prevailing price level, you were a little bit ahead of your plans. Now we have seen that prices continue to be under pressure, less than in the recent past, but still they were coming down. Can you make up for something like this? Or is it fair to assume that the combination of the market pressures is throwing you back in your ambitions?
Rudolf Staudigl: Well, of course, the price levels are going down. The ambition is right. There's no question. But we will see by the end of the year how everything turns out. I think the biggest uncertainty is in the market development at this point in time. It's just very, very tough to predict.
Thomas Swoboda: Understood. My second question is on cash and especially in regard to the restructuring measures you haven't announced yet. I fully respect that and it's not a question how much. But in the interest of balance sheet and liquidity preservation, my question is, do you expect any significant cash outflows for the SG&A costs, restructuring programs till this year? Or are those outflows, whatever they will be, expected from 2020 onwards only?
Tobias Ohler: Thomas, there will be most likely two components for the cash outflow on the restructuring. And if we think about the portion that we can do with the accelerated retirement, this will spread over the years, over 2020, 2021, 2022. So there will not be a massive impact from this type of approach to lower the headcount on the 2020 financials and cash. If we think about the second part, more like a severance program, this, yes, will be offered if we find agreement with the employees' representatives. And yes, I would expect that to be in the second half of 2020. But it is, by far, from the numbers that some calculate, please bear in mind that the €250 million that we are talking about is roughly 50% non-labor, 50% labor. And of the labor component, there is most likely a big portion also working with the retirement approach. So you can do the numbers, if you like, but I don't have any guidance today to this all.
Thomas Swoboda: Is there a headache because of the current situation and the stressed liquidity eventually?
Tobias Ohler: No. Not at all, no.
Thomas Swoboda: Not at all. Perfect.
Tobias Ohler: We will push for the program as strongly as possible. So as I said before, we are really happy with the progress that we made. The urgency will drive the change, most likely even faster. And did I get it right? Headache? No, there's no headache at all.
Thomas Swoboda: Perfect. To end on an even more positive note, the oil price, I mean it has crashed. A lot of market participants do not expect the oil price to recover sharply anytime soon. What does this low oil price do to Wacker Chemie? How big is the tailwind?
Tobias Ohler: I mean we are not oil buyers. We are not oil-based business. But for sure, some of the raw materials have seen also massive declines like ethylene dropped by €200 in the most recent numbers I have seen. So yes, we will see lower raw materials and lower energy.
Thomas Swoboda: Will all segments participate? Or should we rather think in polymers only? Or how should we see this?
Tobias Ohler: It is primarily polymers because those raw materials are closer to oil. But it will also be silicones, if you think about methanol, which is linked to coal and gas.
Thomas Swoboda: Perfect. So thank you very much. Very clear.
Tobias Ohler: Welcome, Thomas.
Operator: Thank you. The next question is from Sebastian Bray of Berenberg Bank. Please go ahead. Your line is now open.
Sebastian Bray: [AUDIO GAP] Competitors still adding capacity within China or do they plan to do so within the next six to 12 months? My second one is also on polysilicon. What is the next big regulatory event, either in China or elsewhere, that will set the tone for the demand growth in 2021 and beyond? Is it just draw up documents for the next five-year plan in September, October? Or is there a specific announcement or event whose date we know about? And the third question is on the polymer segment. Are there any customers who are likely to ask for ad hoc renegotiations of pricing? Or are you sitting pretty for the next three quarters and this only really reset properly to reflect lower raw materials at the start of next year? Thank you.
Rudolf Staudigl: Yes. As far as I am aware, to your second question, there are no specific regulatory events scheduled at this point. I know that, especially in China, they are thinking about special, yes, incentives to install more modules. And these programs will certainly be published over the next few months. But there are the normal regulatory, yes, rules basically in every country to support installation of solar modules. And to be honest, acoustically, I did not hear your first question.
Sebastian Bray: Are there any competitors in China that are currently constructing polysilicon capacity or planning to do so within the next six to 12 months? Or is that done for the time being?
Rudolf Staudigl: Well, there is especially one competitor that has announced construction of additional capacity. That's correct.
Sebastian Bray: I assume you are referring to Daqo, but at this stage, based upon what you hear from the market, do you assume that that is going to go ahead?
Rudolf Staudigl: Well, I think we have a clear picture about our competition in China. And as I said, there is especially one who is obviously eager to add additional capacity.
Sebastian Bray: Understood. And sorry, just to make sure, did you get the third question, which is on the extent to which customers can, particularly the distressed ask for ad hoc renegotiations in construction? Or are you able to capture the raw material tailwind for most of 2020?
Tobias Ohler: Sebastian, I will take this one. I mean if you look at overall polymers, we always say that 25% of our business is index-based from our own selling prices linked back to the raw material input and those will definitely move with the decline in raw materials. But the 75% there, I mean some yearly contract or annual contract, some semi-annual, some quarterly contracts. On the construction side, we have a firm stance on pricing. So I expect the impact more on the volume side than anything else.
Sebastian Bray: Understood. Thank you.
Operator: Thank you. The next question is from Sean McLoughlin of HSBC. Please go ahead. Your line is now open.
Sean McLoughlin: Thank you. Just a couple of follow-ups around Charleston and polysilicon. In March, you said that this facility has now qualified to semi. It's ramping up. You are saying today that it's not operating at full capacity and you are not shipping to China. It's producing semi-grade. Do I understand that you are not shipping to the solar factory now from this facility?
Rudolf Staudigl: Yes. We are only shipping limited amount of material out of Charleston. What I meant is, the full capacity of 20,000 tons for solar material is not utilized. On the other hand, this facility is qualified for semiconductor material and is producing semiconductor material at the highest quality. And the customers are not in China.
Sean McLoughlin: Thank you. So is it fair to say that the capacity of, let's say, this high-purity semi-grade would be somewhere near to 10,000 and 20,000?
Rudolf Staudigl: I will say it's below 20,000 and certainly higher than 10,000.
Sean McLoughlin: Okay. Thank you.
Operator: Thank you. As there are no further questions, I would like to hand back to you.
Joerg Hoffmann: Thank you operator. Thank you all for joining us today and for your interest in Wacker Chemie. We are looking forward to further discussions with you as the quarter progresses. Thank you.